Operator: Good afternoon and welcome to the FCF First Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I’d now like to turn the conference over to Ryan Thomas, Vice President of Finance and Investor Relations. Please go ahead.
Ryan Thomas: Thanks, Grant. Good afternoon, everyone. Thank you for joining us today. Participating on today’s call from separate locations across our footprint in Pennsylvania and Ohio, will be Mike Price, President and CEO; Jim Reske, Chief Financial Officer; and Brian Karrip, Chief Credit Officer. After prepared remarks from management, we will open the call for your questions. For that portion of the call, we will be joined by our Bank President, Jane Grebenc. As a reminder, a copy of today’s earnings release can be accessed by logging on to fcbanking.com and selecting the Investor Relations link at the top of the page. We have also included a slide presentation in our Investor Relations website, with supplemental financial information, that will be referenced throughout today’s call. Before we begin, I need to caution listeners that this call will contain forward-looking statements. Please refer to our forward-looking statements disclaimer on Page 2 of the slide presentation for a description of risks and uncertainties that could cause actual results to differ materially from those reflected in the forward-looking statements. Today’s call will also include non-GAAP financial measures. These non-GAAP financial measures should be viewed in addition to, and not as an alternative for, our reported results prepared in accordance with GAAP. A reconciliation of these measures can be found in the appendix of today’s slide presentation. And with that, I will turn the call over to Mike Price.
Mike Price: Thank you, Ryan. The COVID-19 pandemic has significantly disrupted the health and well-being of our communities. Our banking teams at First Commonwealth are engaged on a variety of fronts. We’ve adopted emerging best practices and followed direction from health and government leaders around COVID-19 to protect our employees, customers and communities. Our bankers were proactive early on, in reaching out to customers and offering forbearance to consumers and businesses, who we’re pressing forward in the wake of this pandemic. At quarter end, we had modified over 2,200 loans for our borrowers, impacting $145 million in loans. Rolling forward to last Friday, April 24, payment relief had been extended to over 5,800 consumers and businesses on $1.1 billion in total loans. However, the number of modifications had trailed off to a trickle. Then third, the team was all in on the first wave of the Paycheck Protection Program, funding and helping 1,500 customers secure $426 million in government loans. Approximately 85% of those loans were less than $350,000. We are a preferred SBA lender, in 2019 ranked as the number two SBA lender in Pittsburgh, and the number three SBA lender in Cleveland. We are now eagerly engaged in securing a second wave of PPP loans for our customers, as government funding has resumed. We expect the typical loan amount to be lower than Wave 1. Then fourth, the volumes through our operations areas have been unprecedented, from loan modifications to PPP loan processing and stimulus checks, from call center volumes to mobile chats, from online mobile deposit account openings to logins on our digital platforms. The team has shifted a significant portion of our workforce from our branch and select areas to call centers, underwriting, documentation, and loan processing, while training them to meet the new operational reality of the week or month. As we work through opportunities with our customers every day, the COVID-19 pandemic is accelerating the change in the banking landscape. We expect ongoing change, and are evaluating additional near and long-term opportunities, surrounding growth, efficiency, expense in net interest margin as we reshape our business. We are not waiting for business to return to normal. Our business is undergoing rapid, longer-term structural change, that we must and will anticipate. As we reflect on the first quarter, it’s important to note that we have been preparing for a downturn for years. The team has added new growth engines to include mortgage and SBA. We’ve built a geographic based Regional President model, led by local presidents accountable for their markets and delivering the bank cross-functionally to our customers and prospects. We’ve moved to a universal business model in our branches several years ago, which enabled flexibility in staffing and broader talent development. We have significantly expanded our digital capabilities, and most recently, our call center capabilities as well. We’ve sought better balance between our commercial and consumer businesses, as well as between our variable and fixed rate lending. The team has built a strong, low-cost core funding franchise, where roughly one half of our deposits are non-interest bearing, and now, transaction accounts, split evenly between consumer and business customers. Our acquisition strategy has been accretive to our low-cost core funding and profitability. Similarly, we have expanded our footprint to adjacent markets that we know well, in both Ohio and Central Pennsylvania, and executed flawlessly on a series of smaller, lower risk acquisitions. These newer markets account for the majority of brisk loan and deposit growth in the first quarter. We have paid down our borrowing significantly, to give us flexibility for times like these, we have fortified our capital position organically, and also with the issuance of $100 million in sub-debt roughly two years ago, which leaves us ready to withstand the current crisis. And from a credit perspective, we have improved the granularity of our loan portfolio and cut the number of the larger credits by two-thirds, while actively managing the segment in concentration limits. In the first quarter, our net income fell to $4.7 million or $0.05 per share as our provision expense increased to $31 million, despite only $3.5 million or 23 basis points of net charge-offs. Using the incurred allowance for loan loss methodology, the reserve build was some 42 basis points to 1.25% of total loans in the first quarter. Jim will speak the spread income, non-interest income and expenses and a number of other things, however, our pre-tax pre-provision first quarter earnings were good. The company is well capitalized with ample liquidity. Our reserve build this quarter is appropriate, given the specter of COVID-19 and what may lie ahead. Our continued focus on building low-cost core funding and leveraging our regional business model for growth, make us optimistic about the future of our company. I would now like to turn it over to Jim Reske our CFO, followed by Brian Karrip, our Chief Credit Officer, to provide more color commentary on the first quarter, capital credit. I’ve also asked Jane Grebenc, our Bank President, to join us as well for the question-and-answer session. Jim?
Jim Reske: Thanks, Mike. Our financial results for the quarter were of course, particularly affected by the reserve build in response to the COVID-19 crisis. We are pleased to see that our pre-tax pre-provision income calculated on a tax equivalent basis increased 5.8% over the year ago period and was $0.38 per share for the quarter, which compares favorably to the consensus of $0.37. Taking advantage of the optional temporary relief provided through the Cares Act that allowed for the delayed implementation of CECL. As a result, our loan loss provision was calculated on the incurred loss method. Ryan will provide some further detail on our provision expense in a moment. But first, let me take a moment to describe why we stayed with the incurred method. Basically, we saw no advantage to CECL adoption and every advantage in delay. Deferral gives us time to assess the impact of COVID-19 on estimated credit losses, including the impact on the economy of fiscal stimulus measures. We also took note of the extreme volatility of economic forecast over the past several weeks, which led to a wide range of CECL outcomes, and gave us pause, as to the veracity of those forecasts. Finally, delaying CECL, gives time to see how our internal model reacts in uncertain economic conditions, which will allow us to further refine our approach, before adoption later this year. Of the $27.4 million in reserve build in the first quarter, a disproportionate amount was COVID related, including a portion of our specific reserves. Our reserve coverage ratio increased from 83 basis points of total loans to 1.25%, an increase of 42 basis points or just over 50%. Without the increase in specific reserves, the coverage ratio increased by 29 basis points, an increase of 33%. We believe that this proactive reserve build provides further protection for our balance sheet. We note that while we continue to use the incurred loss method this quarter, our reserve building coverage ratios compare favorably with many banks that have adopted CECL. That’s because we set aside extra qualitative reserves for losses that we believe have been incurred, even though they have not yet emerged. In that sense, it will ultimately reduce the difference between the incurred allowance and our CECL allowance, when we adopt CECL later this year. Looking beyond the provision, there were actually a few other financial developments this quarter worth highlighting. First, net interest income was down $1.1 million to $60.1 million for the period. Here, strong loan growth of $134.6 million or 8.7% annualized, was offset by 8 basis points of contraction in the net interest margin. Commercial Banking, indirect lending and mortgage led the way. Deposits saw even larger increases, with a strong percent in March, leading period end deposits up by $245 million, even as we brought our cost of deposits down by 5 basis points, by aggressively dropping rates and letting CDs run-off. At 51 basis points, our cost of deposits is now 10 basis points lower than it was a year ago, and our total cost of funds is down 19 basis points. We expect that our efforts to manage deposit costs will help mitigate NIM compression over the course of 2020. We have approximately $450 million in time deposits maturing before year-end, and have been able to retain approximately two-thirds of maturing time deposits at RAC rates of – for example 20 basis points for 12 month CD. We have another $300 million in money market accounts with teaser rates to roll off by year-end and reprice downward as well. Second, non-interest income fell by $3.3 million or 15% to $19.3 million in the first quarter, primarily due to a $3.1 million decrease in swap income compared to last quarter, $1.7 million of which was due to a mark-to-market adjusted for the swap valuation allowance. On a more positive note, mortgage gain on sale was up by $1 million from last quarter. Beyond that, we saw a small effect on debit card interchange income, due to pandemic spending restrictions that we estimate to be about $300,000 for the quarter. Interchange income could come under pressure until economies reopen and spending picks up, but our mortgage, SBA wealth and insurance businesses continue to generate fee income for us. Third, non-interest expense improved by $3.1 million to $50.3 million quarter-over-quarter, reflecting the release of $2.5 million in reserves for unfunded commitments. This is due to the use of updated loss information from our CECL model, and even though we didn’t adopt CECL, we did update our approach. More fundamentally, even the hospitalization expense remained elevated at $3.2 million for the quarter. We are taking steps to bring our cost fee down, including hiring fees and stopping almost all discretionary spending, other than investing in digital delivery for our customers. Stepping back for a moment, I would emphasize that First Commonwealth is entering into this period from a position of financial strength. We have approximately $3.7 billion of available liquidity, and our loan-to-deposit ratio remains in a comfortable low 90s. We come into this period of low rates with a relatively high net interest margin and even though we expect additional margin compression, we believe our NIM should benefit from fee income for the PPP program, mostly in the third quarter. Finally, in terms of capital, we have approximately $100 million of excess capital over and above what it takes to be considered well capitalized. We suspended our buyback program, in order to focus on capital preservation. Our reserve build further impacts our balance sheet. While we are not required to run capital stress tests due to our size, we do so anyway, and even in our most severely adverse scenarios, we remain well capitalized. With that, I’ll turn it over to Brian.
Brian Karrip: Thank you, Jim, and good afternoon. It’s clear from our reported provision, that we’re building reserves in response to the impact of COVID-19. Our reserve build primarily reflects three factors; first, an $8.9 million of qualitative adjustments within our incurred model framework to reflect general economic and business conditions; second, $7.8 million of additional qualitative overlays, to address the risk portfolios and forbearances; third, an increase of $7.4 million in specific reserves. Let me provide a little more color on each one of these. First we ran our standard incurred loss model, as of March 31. At that time, many of our standard indicators were not reflecting economic strain. However, management knew to take measures to estimate the loss content in the portfolio as of 3/31. As a result, we increased qualitative factors within our model appropriately. For example, we assume the effective unemployment rate of 11.9% at 3/31, even though the level of unemployment had not yet been evident in the most recently published materials. Second, the risk portfolios that drove what we refer to as the overlays, are set forth in some detail and our earnings release supplement. As the COVID crisis began to develop, we look through our loan portfolio and identified certain sectors that had the potential to be impacted by COVID-19. While some of the segments such as energy and restaurants might be immaterial as a percentage of the portfolio, management felt it was important to review each one, to accurately identify the risks. These portfolios generally exhibit good diversification, granularity and conservative underwriting characteristics. For example, in the retail segment; the largest subsegment is our freestanding retail book. That subsegment has an average loan size of $3 million and 59% LTV and debt service coverage ratio of 1.44%. In hospitality, approximately 80% of the portfolio is under either a Hilton or a Marriott flag, and the average LTVs excluding enterprise value was 64%, the debt service coverage ratio is 1.59%. We know our borrowers, and when COVID emerged, we walked through each name, name by name, and reviewed each of the larger relationships. I would note that at the end of the first quarter, 96.4% of the loans in these portfolios were past rated, and 97% were in the performing status. The other part of the overlay has to do with forbearances and additional detail on the consumer forbearances is contained within the supplement. Early in the crisis, we signed a Pennsylvania CARES Act that made forbearances available to our consumer and commercial customers. We added qualitative reserves for consumer losses within the portfolio that have not yet emerged. And third, we’ve set aside $7.4 million in specific reserves, largely related to five underperforming borrowers. Most of these were showing signs of weakness before the crisis. But of course, the crisis made their problems worst. Three of these underperforming borrowers were downgraded to non-accrual status in the first quarter, which drove an increase of $27.6 million in non-performing assets. We could have simply offered forbearances to these customers, and kicked the can down the road a bit, but that’s not what a forbearance is for, and that’s not the right thing to do. These downgrades and associated specific reserves are in keeping with our credit culture of early recognition of problem credits and we believe will serve us well through this crisis. In closing, we’ve taken many steps to reduce credit risk in the portfolio. We’ve reduced hold levels. We adhere to our strict concentration in segment limits. We reduced our out-of-market commercial loans. We drove a more balanced mix of commercial and consumer loans to diversify the portfolio. We have mitigated concentration risk, by creating a more granular commercial loan portfolio, and specifically, with only 26 borrowers with commitments greater than $15 million. In short, we believe First Commonwealth is well positioned to weather the storm. And with that, we’ll take any questions.
Operator: [Operator Instructions] Our first question will come from Frank Schiraldi with Piper Sandler. Please go ahead.
Frank Schiraldi: Good afternoon, everyone. I am going to start with the increase in non-accrual. I think most banks I look at are probably doing exactly what you guys noted, just maybe kicking the can down the road a bit and then offering deferrals or forbearances to anybody who had some COVID related issue. And I just kind of wanted to maybe get a little bit more color on those loans. Specifically, why they moved to non-accrual as opposed to being offered a forbearance? And then just your thoughts on that, this may lead to NPA builds at FCF, a little bit faster than we were going to see at a most banks most likely? Thanks.
Mike Price: On the latter question, we don’t think so. I think with these two particular credits, there were systemic issues in the credit that were prevalent before the crisis, and I’ll let Brian Karrip speak to that. Brian?
Brian Karrip: Yes. Thank you, Frank for your question. Specifically, to these two loans, the first loan was challenged with construction delays throughout 2019, and had yet to stabilized early 2020. It’s about a $7.5 million loan to a hotel in Ohio, and it’s adjacent to a university that had been shut down with COVID. Credit impaired this loan, based on the facts and circumstances and events at the time, we could have offered simply a forbearance, and we did in fact provide a forbearance, but based on the underperformance going into COVID, the extensive period of time we believe to come back out of this specific property, we elected to move it to non-accrual. Similarly with the second one, we did move it to non-accrual, it was a long time relationship. This is also in the hospitality space. The facilities are shut down, weddings at banquets have been canceled and we did move this win over. Both loans were past credits prior to COVID. I’m sorry, both loans had been struggling a bit before COVID. Both loans were paying as agreed though, before COVID.
Frank Schiraldi: Okay. And I’m sorry, you might have mentioned this, but in terms of specific reserves against those two loans, did you give that detail?
Brian Karrip: I didn’t. But I could.
Frank Schiraldi: Great.
Brian Karrip: The specific reserves, on the first one, its about $1.4 million, and the specific reserve on the second one is nominal.
Frank Schiraldi: Okay. And then just a follow-up on provisioning. I don’t know if you can say, I mean, Jim, I think you mentioned that there were several models you would have looked at on the – had you adopted CECL and they were sort of moving around quite quickly. So I don’t know if you have it available, but just kind of curious if provisioning in your estimation would have been significantly different in the first quarter, had you adopted CECL? And then, in your understanding, how is this going to work going forward, once you do adopt CECL, are you going to have to go back then and restate each quarter for a CECL reserve?
Mike Price: Jim?
Jim Reske: Yes. Sure, Frank. Thanks. Good question. Happy to tell you what I can. We are not going to be to providing here exact CECL as if number, but I can give you some color that might be helpful to you. As a general rule, we do think that expected loss should be higher than incurred loss, so it just makes sense, not as an anomaly in your math and you have to use some kind of factor to address for that. And even though, we ran the incurred model, we actually did over a dozen different CECL runs using different scenarios, different combinations of scenarios, different permutation of the scenarios, and I could tell you, in those scenarios, some of them required more reserves than we actually set aside with the incurred model and some required less. And that kind of volatility is actually one of the reasons that led us to the decision to delay adaptation of CECL. So I can’t give you the exact CECL number now. I can tell you a couple of things; I think that if we have adapted CECL, that from what we can tell, we will be in the range of the other peer banks who have reported CECL numbers. And that the other thing is our reserve build now closes the gap to our eventual CECL number, but when we do adapt CECL. The other part of your question had to do with restatement. It is our understanding that we will not have to actually go back and restate publicly filed financial statements. And we do adopt CECL, we will provide close – the quarterly numbers either on a year-to-date basis depending on the period or year-over-year comparisons to the actual published numbers with CECL update. And then we will ultimately also publish our day one CECL adoption number, which we will have to book retroactively as of January 1, 2020.
Frank Schiraldi: Okay, got you. And then, just when you speak of, if you had adopted CECL, you think you’d be sort of in a range along with other peers. Are you talking about from a reserve to loan standpoint?
Jim Reske: Yes. Yes, we are, from the reserve coverage ratio standpoint, that’s the way we’ve looked at it.
Frank Schiraldi: Okay, great. Thanks guys, stay well.
Ryan Thomas: Thank you. Next question, operator?
Operator: Next question will comes from Russell Gunther with D.A. Davidson. Please go ahead.
Russell Gunther: Hi, good afternoon guys.
Mike Price: Good afternoon.
Russell Gunther: Thank you. Yes. First question for me, a bit of a ticky tacky question, but just curious, the reserve at 1.25%, are there fair value adjustments on previously acquired loans we should think about? And if so, where would the reserves stand on that sort of a pro forma basis?
Mike Price: Russell no, Brian question, but no those aren’t included.
Russell Gunther: And do you have the – so they’re not included, do they exist, and if so, what would be the order of magnitude?
Jim Reske: Sorry, if it wasn’t clear. Sorry if it was unclear, but they don’t exist.
Russell Gunther: Okay. And then, I appreciate the granularity that you provided in the deck as it relates to some of the exposure you think are a bit more at risk in the early innings of this uncertainty. Curious if you could provide a little more detail in terms of the internal stress testing that you ran, and perhaps loss content assumed for some of those more challenged buckets?
Mike Price: Jim?
Jim Reske: Yes, Russ, I am sorry. You are referring to the impact of portfolios that we are disclosing in the supplement?
Russell Gunther: Yes, I am. In terms of how you factor that into some of the internal stress test that you provide, and assumed loss rates within some of those more potentially, adversely impacted buckets?
Jim Reske: It’d be a little different. So what we’re doing now in the incurred method, is looking at those portfolios and trying to say, what kind of additional loss content, might there be, that is incurred as of 3/31, but not yet emerged. That’s why we set aside additional qualitative reserve to those different portfolios. Well we run stress tests, the capital stress tests that I was referring to earlier. Those are actually run with an earlier version of our CECL model, to say what is the life of loan loss in all portfolios. And so, that kind of result would have been a CECL type of result based on historical loss rates and then severely adverse forecast. So they are two slightly distinct concepts, I hope that gets you to your question here? Let me know if you have any other question?
Russell Gunther: You have Jim. Thank you very much. Those two were it for me. Thanks guys.
Ryan Thomas: Thanks, Russell. Next question?
Operator: Our next question will come from Collyn Gilbert with KBW. Please go ahead.
Collyn Gilbert: Thanks, good afternoon everyone. My question – just wanted to start with Slide 8, where you run through kind of the forbearance metrics, and I think it’s interesting that you saw a little bit more of an acceleration from the end of March through April 24. Can you just sort of talk about that process, how much was outreach on your own part versus inbound calls from your borrowers? And then also would be curious to know, how some of those forbearance requests range, relative to the geographies? Basically Ohio versus PA?
Mike Price: Yes. Thanks Colin, this is Mike, I’m going to hand it off of to Jane, but we are routinely in touch with our customers. Our branches were reaching out to consumers at the onset of the crisis to have discussions with them, and a number of them led to HELOC applications and others led to forbearance. And we did the same thing with our consumer, our commercial customers. So our fingers are really on the pulse of their business. And Jane, why don’t you give a little bit more color on the forbearance process?
Jane Grebenc: Thank you, Mike. Thanks Colin. As Mike said, we were fairly of sort of in the approach. Ever since the second week of March, we’ve been trying to balance the idea that we are physically not as available and we wanted to stay really close to our customers and we did not furlough any branch employees. And we did two things with them Collyn, we redeployed them to all sorts of other operational areas, around the bank that were running hot. We also had them reach out aggressively to our customers, and they were reaching out against a script that essentially said, how are you? How are you doing? How is your business? And as Mike said, sometimes that turned into everything’s fine. I can’t believe you guys are calling. This is great, none of our other banks are doing that too. I need to HELOC just in case to, I really could use a forbearance. And we were glad to grant the forbearances. They’re consistent with the regulatory guidance. We believe that eventually those clients were going to ask for a forbearance anyway, once they got to be 30 day delinquent, and we would only have to correct the credit bureau report at that time. So this is why we didn’t touch the customer twice, and – but to temper that, these forbearances are only 90-day forbearances. So we will be talking with our clients, we believe, more frequently than other banks might be talking to theirs.
Collyn Gilbert: Okay. Okay, that’s helpful. And then is there – did you see much variance between the two geographies, namely between Pennsylvania and Ohio?
Jane Grebenc: I’m sorry, I forgot about that. They are almost identical. They are the same customer base. It just really depends on which side of the river they are on.
Collyn Gilbert: Okay, got it. And then Brian, just to come back to you in your comment on the two credits that went non-accrual this quarter. So I think you had said $7.5 million was the loan? What was the balance of the second one, hospitality credit?
Brian Karrip: $10.3 million.
Collyn Gilbert: $10.3 million. Okay, great. And did – so the hotel credit was, I think if I heard you correctly, you also provided forbearance for that, correct?
Brian Karrip: We did. Both of them were granted a forbearance. Both of them were impaired by quarter end.
Collyn Gilbert: Okay. So how does that work from an accounting – this question goes back to you, Jim, how does that work from an accounting standpoint; because I thought I was under the impression that a lot of these forbearances, you’re still accruing interest, but just trying to understand, how the accounting will work on these credits and then, any additional credits that may come up as non-accrual that you’ve already extended forbearance requests to?
Jim Reske: Yes, sure. And Brian can correct me here. But I think what Brian is saying is for a credit like that, as part of the process of moving towards the impairment and non-accrual we had offered forbearance, to try to work that out with the client. But once that decision is made to put that on an accrual, the net loan goes out to non-accrual, over non-accrual income and any payments that are received, go to principal reduction, just like any other non-accrual loan from an accounting perspective. For the forbearance customers, so we got the forbearance customers that we list on Page 8 of the supplement that accepted the forbearance, technically the 90-day forbearance, for those we are accruing the income just like any other bank, because those loans tend to declare not delinquent. They are still current. They’re just – they received forbearance. So there is a little bit of a distinction, if any one of those on Page 8, we said that, that loan, we are not going to receive as a whole, forbearance or not, we’re going to put out on nonaccrual then we write on nonaccrual and start applying any payments we did receive the principal reduction.
Collyn Gilbert: Okay, that was helpful. And then just on the NIM, Jim, you had indicated, obviously the opportunity here to reduce funding costs should help to mitigate some of the compression. Can you just give a little bit more color as to what you think the NIM outlook will be, just given the fact that obviously in the second quarter, we’re feeling more of the pain on the LIBOR drop? And then if you said it, I missed it, I apologize, but what the fee structure is on the PPP loans kind of on an average basis, that you expect to generate?
Jim Reske: Yes, I’ll take them in reverse order. The fee structure question is a little easier. The PPP loans are still coming in. We’re participating in Wave 2, and so that all that is coming in. So we might have a more refined number once its all said and done. But for the first wave, the average fee for us has been a little over 3%, and as we understand, that that will – as a fee it is going to be amortized or recognized that is, over the two-year stated life of the loan and less fee, and in the margin, less fee client prepays, and we expect most of them will prepay, and then will accelerate that amortization and it will flow through the NIM. So that actually is going to impact the NIM and it could result in quite a bit of volatility to the NIM. So with regard to your other question on the NIM and our forward look, I appreciate the question and kind of anticipated it as well, Collyn. It’s so difficult in this [indiscernble] to give forward guidance. And I think that’s where you’re finding banks, most banks are – they are finding it much easier to give balance sheet guidance and income statement guidance. So we can talk about our capital position, how solid our balance sheet is, because that’s a whole lot easier than kind of – income statement and giving any income statement guidance. We don’t have a high degree of confidence in our ability to predict what the economy is doing so far and customer behavior, in particular. But let me tell you a few things on the NIM, just so it’d be helpful to you. We had previously given guidance. Fairly consistent with that, for every 25 basis point rate cut, the NIM will be affected by 3 to 4 basis points. And what we saw with 150 basis points of cuts to the Fed, that’s the equivalent of six rate cuts, and that would – just doing the straight math, imply 18 to 24 basis points of NIM compression, which would take place – and for some – in some ways quickly, as it would affect variable rate loans and then follow-on effects in subsequent quarters. That kind of assumption that we normally give is based on normal times. For example, that kind of assumption, that kind of guidance we’ve given in the past would assume a beta of about 25% on the deposit side, and what we are experiencing here, was betas that are approaching 100% on the deposit side, and that’s where I was giving some deposit detail in the prepared remarks that I was giving. So we’re hopeful that that will sort itself out and then if you – and you could think of it this way, that that kind of ability to affect the deposit side, might result in us have the lower end of the range of that NIM compression and in a bid against NIM compression. And then as you take that with the volatility of the NIM that’s going to come from PPP program, those things will all play themselves out for the end of the year.
Collyn Gilbert: Okay, that’s very helpful. Thank you for that. And then just to the comment you made Jim, maybe a little bit easier to tell on balance sheet, although who knows how customer behavior will react in kind of the next quarter or back half of the year, but just curious on as to how the pipeline looks today, and just where you are seeing just natural customer demand for credit, and maybe if there is any kind of broad comment you can make on loan growth for the rest of the year?
Jim Reske: Yes, Mike?
Mike Price: Yes, Collyn, this is Mike. On the PPP side, obviously it’s pretty great. We also expect probably a litany of other SBA and government type programs that will be available to different types of businesses over the course of the year, and we’ll be well positioned for those. Mortgage has remained relatively strong. Indirect and auto business has fallen dramatically in the last year. Consumer lending has been surprisingly better than we thought it would be, and that’s mostly through the proactive efforts that Jane highlighted earlier, and we still have some new engines. The mortgage and the SBA are serving us well. We also like the fact with our regional business model and our relatively small size in Cleveland, Columbus and Cincinnati, that might present avenues for growth as well. I would fall short of giving you the mid single-to-high single digit guidance that we’ve given you and we actually achieved 8.7% in the first quarter. We’ll see how it unfolds and we’ll keep you updated. Is that helpful?
Collyn Gilbert: Yes, it is. Yes, that’s very helpful. All right, guys, I will leave it there. Thank you very much.
Mike Price: Thank you.
Jane Grebenc: Hey Mike, before we go to the next question, there is a place where Pennsylvania and Ohio, do have some difference in terms of loan growth and specifically with mortgage and indirect auto. Ohio’s restrictions over the last six weeks have not been quite as stringent as Pennsylvania’s, and they are still selling cars in Ohio. And Pennsylvania is service-only, and construction were shutdown in Pennsylvania and was allowed to continue in Ohio. So we’re still plugging along in Ohio, in those two consumer businesses.
Mike Price: Great comments. Thank you, Jane.
Operator: Our next question will come from Steven Duong with RBC Capital Markets. Please go ahead.
Steven Duong: Hey, good afternoon guys. So just on Slide 7, just on your retail and malls, is there any way to get – gauge what the nonessential retail is?
Mike Price: Brian?
Brian Karrip: Yes, let me offer some color. So what you see on Slide 7 is $541 million. That’s actually across 541 borrowers. The largest in the Group, $16 million. The largest non-pass is around $1.09 million and unfortunately that was under an agreement to sell until COVID happened. The way we think about this portfolio, is those names above $1 million, and as we discussed earlier, that largest sub-segment of this portfolio is around 31%, and we call it freestanding, that’s the dollar stores, the convenient stores with gasoline, a bank branch or a wine and spirits store. Those are around $3 million in average size, as we mentioned earlier, 59% LTV, 1.44% cover. The second largest chunk in this portfolio is what we would call grocery store-anchored. It’s about 22% of the portfolio. They are around $9.6 million average size. The LTV here is lower at 44%, and the coverage ratios are higher, at 1.83%. This portfolio was performing very well prior to COVID, and our view is, as the economy opens up, it may take 6 months to 12 months to get restabilization. But we are monitoring it closely. We’ve done some additional stress testing, and so far, this portfolio has held up nicely.
Steven Duong: I really appreciate the detail on that. And then just one last one for me. Just – I know the portfolio is really small, just the energy, the $34.8 million, what exactly is in that?
Brian Karrip: Thank you for asking. Yes, what you would expect because we’re ground zero for Marcellus Shale, you would expect we would have a bigger book. Over the past several years, we decreased the book and its roughly half what it’s been over the past three years. So what you see on the slide is 52 borrowers, total of $35 million. And one name is special mentioned, its about $6.9 million, it’s a large publicly traded company, with lots of liquidity. The other two non-performers have been non-performers in the Bank’s portfolio for quite a while, and they are both being handled by special assets. They both have sufficient specific reserves against them. This is a business we do not do, and you could expect this portfolio over time to continue to shrink.
Steven Duong: Great. Appreciate all the color. Thank you.
Mike Price: Thank you, Steve.
Operator: [Operator Instructions] Our next question will come from Steve Moss of B. Riley FBR. Please go ahead.
Steve Moss: Hi, good afternoon. I wanted to ask about the – most of my questions have been asked and answered here. I guess one thing, just in terms of the commercial real estate portfolio forbearances, just wondering what the underlying mix is there, just given a sense there’s a larger component of forbearances? I’m sorry if I missed it.
Mike Price: Brian?
Brian Karrip: Yes, the forbearances in commercial real estate are generally aligned with the count for borrowers. So as I mentioned earlier, retail is our largest count in terms of borrowers and that would represent the largest number of forbearances. The one I think we ought to simply highlight is in the hospitality book, 28 of our 31 borrowers over $1 million have received a forbearance and 22 of them have actually received PPP loans. This is a portfolio, while we didn’t discuss it, that we exited five names last year. We continue to shrink the book, and it’s fair to say that three groupings of our – three of our largest groupings of borrowers are very experienced. They account for over 55% of the portfolio. Those management teams have operated through previous cycles, and while this portfolio does have, as I mentioned, 28 of the 31 above $1 million loans have forbearances. We have a lot of confidence in the experienced management teams.
Steve Moss: Okay, great. And actually, just one more question. In terms of just the restaurant and bar exposure, just wondering, I know it’s small, but what is the underlying mix between quick serve versus, call it, fine dining or whatever these contributions are?
Brian Karrip: Yes. So that portfolio, again you’re referring to Slide 7. What you see on 7 is, its $28 million. And our pre-work, we pulled out of the $28 million the two large SBA loans, one for $4,000,004 and the other for $3,000,007. What that leaves you, is 247 loans less than $20 million, they are about $80,000 a piece. And when we go through this list, you find a lot of restaurants, caterers, bars, large – very large number of small-business accounts.
Steve Moss: Okay, great. Thank you very much. Appreciate that.
Mike Price: Thanks for your question.
Operator: Our next question will come from Russell Gunther with D.A. Davidson. Please go ahead.
Russell Gunther: Hey, thanks for taking the follow-up guys. Just wanted to touch on the Slide 9, the leveraged loan portfolio. If you could share what the reserve is there? I know you mentioned that there are some qualitative reserves, but just kind of where that reserve stands and expectations for performance in that portfolio?
Brian Karrip: That reserve is about $4.9 million.
Russell Gunther: Okay, great. Thank you.
Operator: Our next question will come from William Wallace with Raymond James. Please go ahead.
William Wallace: Thanks. Just one small follow-up as it relates to the NIM question from earlier. If you have a loan or forbearance, that is scheduled to have an interest rate reset during the period. Are you accruing interest at the previous rate? And if so, is there a large enough portion of that and forbearance did actually have some NIM impact in the second quarter? In other words, push off some of the pressure that you might have had otherwise?
Mike Price: Jim?
Jim Reske: Yes, another great question. I think we are going to apply the resets and just continue to accrue it in, while it’s in the forbearance period at the reset rate.
William Wallace: Okay, thank you. That’s all I had. Everybody else asked all the questions.
Operator: This concludes our question-and-answer session. I would like to turn the conference back to Mike Price, President and CEO for any closing remarks.
Mike Price: Yes, thank you. We appreciate your engagement. We feel like we’re making good choices, good choices for our employees, good choices for our businesses, small businesses and consumers we’re privileged to do business with. And thank you for your interest in our company and look forward to be engaged with a number of you over the course of the next several months. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.